Operator: Good afternoon, everyone, and thank you for standing by. Welcome to Evolus Fourth Quarter and Full Year 2024 Earnings Conference Call. If you require operator assistance during the conference call, please press star zero. As a reminder, today's conference is being recorded and webcast live. All participants are in a listen-only mode. After the speakers' remarks, there will be a question and answer session. I would now like to turn the conference over to Nareg Sagherian, Vice President and Head of Global Investor Relations and Corporate Communications. Please go ahead.
Nareg Sagherian: Thank you, operator, and welcome to everyone joining us on today's call to review Evolus' fourth quarter and full year 2024 financial results. Our fourth quarter and full year 2024 press release is now on our website at evolus.com. With me today are David Moatazedi, President and Chief Executive Officer; Rui Avelar, Chief Medical Officer and Head of R&D; and Sandra Beaver, Chief Financial Officer. Today's call will include forward-looking statements. Actual results may differ materially due to risks and uncertainties outlined in our earnings press release and SEC filings. Forward-looking statements are based on current assumptions, and we undertake no obligations to update them. Additionally, we will discuss certain non-GAAP financial measures. These measures should be considered in addition to and not as a substitute for our GAAP results. A reconciliation of GAAP to non-GAAP measures is included in today's earnings release. As a reminder, our earnings release and SEC filings are available on the SEC's website and on our investor relations website. Following the conclusion of today's call, a replay will be available on our website at investors.evolus.com. With that, I'll turn the call over to our CEO, David Moatazedi.
David Moatazedi: Thank you, Nareg, and good afternoon, everyone. 2024 was a transformative year for Evolus, marked by several key achievements to set the stage for 2025. Starting with our objective of achieving profitability in Q4, I'm proud to say that not only did we achieve meaningful profitability in the fourth quarter, but we also delivered profitability for the full year, one year ahead of our stated goal. This profitability was enabled by revenue growth above 30% for the fifth consecutive year, further solidifying our position as the fastest-growing brand in our category. We ended 2024 with the US market share approaching 14%, resulting in revenue above the top end of our original guidance. The combination of Jeuveau and now Evolys brings together the fastest-growing toxins in the US with the first innovation in technology in over a decade. In Q4, we obtained CE Mark Approval for the same line of injectable gels, followed by FDA approval in February 2025 for Evolys Form and Evolys Smooth. This approval expands our total addressable market in the US by 78% and supports our 2025 revenue guidance of $345 to $355 million, marking our sixth consecutive year of over 30% growth. We continue to prioritize execution. In 2024, we added over 2,900 new accounts, bringing our total to more than 15,000 purchasing accounts, which represents half of the toxin market that is used by both. On the consumer side, Evolys Rewards surpassed 1.1 million users, growing 40% over the prior year. Our international business also took a significant step forward. Our UK team celebrated two years on the market, achieving market share levels comparable to our second year in the US, reinforcing our confidence that our performance beauty strategy extends beyond the United States. We also expanded our direct presence in Australia and Spain, where both markets are experiencing strong uptake. We now have a footprint in all of the key markets that will drive our path to $100 million in international revenue by 2028. Lastly, 2024 marks the third consecutive year we provided revenue and expense guidance. I'm proud of the team for their continued focus on execution, exceeding our top-line revenue guidance while demonstrating prudent expense management, resulting in operating expenses coming in at the low end of our range. We take pride in our track record of meeting or exceeding our guidance each year, knowing that credibility is built over time. Looking ahead, the launch of Evolys is a top priority. Since last year, we have strengthened our expertise in the category, made key strategic hires, and conducted over a dozen advisory meetings with key opinion leaders and customers. We captured insights on the current usage of products, their experience from prior product launches, and the value our innovative Coldex technology brings to our customers and the patients. These insights, combined with additional market research, have shaped our launch plans, and we are prepared to commercialize Evolys early in Q2. The R&D team did an outstanding job delivering a differentiated clinical package and a first-in-class label with the mention of weight loss as a cause of facial wrinkles. Rui will provide more details later in the call. Our digital strategy has already begun, with the Evolys website and social media pages now live. We have also communicated the approval to our customer base. Our founding faculty and scientific advisors, some of whom were investigators in the Evolys trials, will begin receiving shipments in the coming weeks to start using the product ahead of our broader Q2 rollout. At the end of March, we will host our national sales meeting to prepare our field organization for the launch of Evolys. In early Q2, our focus will be on sampling to build confidence in the unique properties of Evolys Form and Evolys Smooth. As a result, we expect minimal revenue from Evolys in Q2, with the majority of revenue expected in the back half of the year. Top of mind for our customers beyond the product is about our portfolio strategy. While we are not disclosing pricing specifics at this time for competitive reasons, I would like to share more about how we are integrating Evolys into our portfolio. Our cash pay model enables us to offer a unique approach, and during launch, Evolys will be seamlessly integrated into our existing portfolio of benefits, including co-branded media and consumer rewards. This will enable customers to earn co-branded media benefits on purchases of Evolys, in addition to Jeuveau. Our portfolio benefits are a differentiated offering in the space. Additionally, our advisers and investigators view Evolys as a premium HA gel with innovative technology and unique advantages over existing market-leading fillers. Our pricing strategy reflects this differentiation while keeping Evolys in line with leading products. Importantly, in our research, 99% of existing Jeuveau customers have expressed interest in trialing Evolys, and half of accounts that have not previously worked with Evolus are also interested. This presents a significant opportunity not only for Evolys but also for Jeuveau. By leveraging Jeuveau's existing momentum, we are building a synergistic portfolio that provides a comprehensive solution for both customers and consumers and benefits from our existing platform. Beyond 2025, our long-term growth outlook remains strong. We are confident in our ability to achieve at least $700 million in revenue by 2028, with a non-GAAP operating income margin of at least 20%, driven by our efficient cash pay business model, a relentless focus on digital and product innovation. I want to express my gratitude to our team, customers, and shareholders for their continued trust and support. With a record year behind us and an even more exciting future ahead, we look forward to the imminent launch of Evolys and delivering another year of exceptional growth in 2025. Now I'd like to turn the call over to Rui to share more insights on our injectable gel line, Evolys.
Rui Avelar: Thank you, David. The FDA approval of Evolys Form and Evolys Smooth injectable hyaluronic acid gels is a pivotal milestone for us, officially transforming us into a portfolio company. The Evolys gels are formulated with proprietary Coldex technology, utilizing near-freezing temperatures compared to other gels that use heat. This serves as the foundation for a platform of gels that offers a wide range of capabilities. Evolys Smooth is a soft, forgiving gel with a low inflammatory profile, allowing injectors greater flexibility in treatment. In Europe, it's approved for very superficial applications, including treating thin lines around the mouth and lips, also known as perioral fine lines. Evolys Form is our most versatile HA injectable. When we look at our gel portfolio, we see a spectrum. On one end, Evolys Sculpt provides structure and high tissue lifting capacity, and on the other end, Evolys Smooth is a very soft, more liquid-like gel. Right in the middle of the spectrum, we have Evolys Form with both properties of structure and suppleness. Both Evolys Form and Evolys Smooth are approved for the correction of moderate to severe dynamic facial wrinkles and folds. Notably, the indication is broader than just nasolabial folds. The label states that it can be used in wrinkles and folds such as nasolabial folds, which allows for treatment in other areas, for example, the marionette lines. The pivotal studies used a split-face design with Restylane Lidocaine as the control for both products. Looking at the results over the twelve-month study period, Evolys Form demonstrated statistical significance at all follow-up time points, and Evolys Smooth at six and nine months compared to the control. In the FDA-approved label, it states that the study met the primary endpoint of non-inferiority and includes the 95% confidence intervals along with the corresponding p-value of less than 0.001, demonstrating statistical superiority over the control for both Evolys Form and Evolys Smooth. The typical patient labeling states that facial wrinkles may develop over time through natural aging. What's unique to our FDA-approved patient labeling for both Evolys Form and Evolys Smooth is the language that facial wrinkles may develop after weight loss. To our knowledge, we're the first and only company to include weight loss as a cause of wrinkles in patient labeling. We believe this additional language positions us well to address the needs of the anticipated GLP-1 patient. With that, I'll turn it over to Sandra for the financials.
Sandra Beaver: Thank you, Rui. I would like to begin by congratulating the Evolus team for delivering an outstanding fourth quarter and close to 2024. Our above-market sales growth, competitive positioning, and disciplined expense management enabled us to achieve profitability in the fourth quarter as expected and reached a significant milestone of full-year profitability, one year ahead of expectations. This accomplishment sets a strong foundation as we enter 2025, positioning us to drive sustainable revenue growth and profitability. In our fifth year of commercial operation, we have continued to demonstrate the capacity that our cash pay model has to deliver top-line results and operating leverage. Over the five-year period, we have achieved nearly five times operating leverage with a revenue compound annual growth rate of 50% as compared to non-GAAP operating expense compound annual growth rate of 11%. The commercial launch of Evolys starting in Q2 of this year enables further operating leverage as we continue to make meaningful progress towards our 2028 guidance of at least $700 million of revenue and at least 20% non-GAAP operating income margin. Turning to our 2024 financial results, as previously reported in our January announcement, global net revenue for the fourth quarter was $79 million, a 30% increase over the fourth quarter of 2023. For the full year, global net revenues were $266.3 million, representing a 32% increase over 2023 and at the top of our guidance range of $260 million to $266 million. US product revenues accounted for approximately 95% of total sales, with a customer reorder rate at approximately 70%. Notably, international revenue contribution is expected to continue to increase, reflecting the strong growth trajectory of our toxin business outside the US. Sales growth in the fourth quarter and full year were driven by while pricing remains stable. Our reported gross margin for the fourth quarter was 66.7%, while our adjusted gross margin, which excludes the amortization of intangibles, was 67.5%, consistent with Q4 2023. For the full year, reported gross margin was 68.5%, with adjusted gross margin at 69.6%, aligned with our guidance range of 68% to 71%. Operating expense management was disciplined while supporting strategic growth initiatives. GAAP operating expenses for the fourth quarter were $54.9 million, down from $57.6 million in the third quarter. Non-GAAP operating expenses for the fourth quarter were $46.6 million compared to $49.6 million in the third quarter. For the full year 2024, GAAP operating expenses totaled $216.7 million compared to $186.8 million in 2023. Non-GAAP operating expenses were $185 million in 2024, compared to $163.9 million for 2023, and at the low end of our expected expense guidance range of $185 million to $190 million. Operating expenses grew at less than half the rate of revenue, 13% growth as compared to 32% revenue growth, demonstrating continued operating leverage. Operating expenses will increase in 2025, beginning to ramp in the first quarter to support the Q2 launch of Evolys. As a reminder, non-GAAP operating expenses exclude stock-based compensation expense, revaluation of the contingent royalty obligation, and depreciation and amortization. Within operating expenses, selling, general, and administrative expenses for the fourth quarter were $50.2 million, down from $52.5 million in the third quarter. This included $6.1 million of non-cash stock-based compensation, compared to $5.2 million in the prior quarter. For the full year 2024, SG&A expenses were $198 million, up from $165 million in 2023, reflecting investments in growth and commercial expansion. With our disciplined approach, we achieved a significant milestone in profitability. Non-GAAP operating income in the fourth quarter was $6.7 million, marking a meaningful improvement from the non-GAAP operating loss of $3.7 million in Q4 of 2023 and non-GAAP operating income of $1.1 million in Q2 of 2024. This significant achievement also enabled us to deliver full-year profitability for 2024, one year earlier than expected. Both non-GAAP operating expenses and non-GAAP operating income exclude stock-based compensation expense, revaluation of the contingent royalty obligation, and depreciation and amortization. Turning to the balance sheet, we ended the fourth quarter with $87 million in cash, up from $85 million at the end of the third quarter. This increase reflects strong sales growth, efficient cash collection, and prudent expense management. We continue to make steady progress towards sustainable positive cash flow. Of note, we anticipate a use of cash in Q1 2025 due to the seasonality of revenue coupled with the timing of our annual bonus payments and inventory stocking to support the launch of Evolys. Looking ahead, we remain confident that our existing liquidity will fully fund our operations to positive cash generation and support the repayment of our $125 million debt facility in 2026 and 2027. As we look beyond 2025, we remain on track to achieve total net revenues of at least $700 million by 2028. This growth will be driven by continued performance in our neurotoxin business, both in the US and internationally, along with increasing contributions from our novel line of injectable hyaluronic acid gels, which will begin launching in early Q2 2025. Achieving this revenue milestone equates to a compound annual growth rate of 27% from 2024. The total addressable market stands at approximately $6.2 billion today and is expected to grow to approximately $10 billion by 2028. Additionally, by leveraging our highly synergistic infrastructure, we expect to expand operating margin and target at least 20% by 2028. With that context in mind, I'd like to summarize our 2025 guidance. Total net revenues are expected to be between $345 million and $355 million, which represents 30% to 33% growth from our 2024 results. We anticipate that Evolys injectable HA gels will contribute 8% to 10% of total revenue in 2025. Non-GAAP operating expenses are expected to be between $230 million and $240 million, driven primarily by continued investments in expanding Jeuveau in the US, scaling internationally, and supporting the launch of Evolys Form and Evolys Smooth injectable gels. We expect to achieve profitability and positive non-GAAP operating income on a consolidated basis for the full year 2025. Non-GAAP operating income is anticipated to be achieved after the launch of Evolys Form and Evolys Smooth, with investments ramping in Q1 2025 and revenue contribution weighted toward the second half of the year, which will result in our non-GAAP operating income being concentrated in Q4 2025. As a point of note, other modeling assumptions for 2025 include quarterly interest expense of $4.5 million and full-year weighted average shares outstanding of approximately 63 million. With that, I will now turn the call back to the operator to begin the Q&A.
Operator: Thank you. We will now be conducting a question and answer session. If you would like to ask a question, please press star one on your telephone keypad. You may press star two. Thank you. Our first question comes from the line of Annabel Samimy with Stifel. Please proceed.
Annabel Samimy: Hi, everyone. Thanks for taking my questions. I had a couple here. I guess first, just thinking about the challenging market conditions for US facial injectables that AbbVie talked about. I guess, how do you think about the environment you're launching into? And it's great that you got a label for facial wrinkles related to GLP-1s. I know this is asked every quarter, but have you noticed a change in behaviors and flow into practices based on patients who are looking to get their wrinkles fixed because of the GLP-1s? So I guess that's the first question I have. Or first two questions rather.
David Moatazedi: Yeah. It sort of dovetails to one another. Thanks for the question, Annabel. We continue to hear the backdrop of challenging market conditions, but we don't see that in the data that we see on the toxin market. I'll start there. The first is the toxin market's been growing in this call it high single-digit range now for multiple consecutive years following COVID. And we continue to see really good strength in terms of consumer interest in entering this market and adding on a toxin. That influx of this younger generation is happening now, and we've, of course, been a beneficiary of that as our business over-indexes on this younger generation with Jeuveau. Interestingly, we've talked about a basket of consumers that we track in our loyalty program to assess whether they're stretching the intervals between treatments, and we're not seeing any changes in their behavior despite what we hear in the backdrop. So I'd say we have a very healthy market from that standpoint. And I'd say largely speaking that the category is also a relatively healthy market. I know the last eighteen to twenty-four months have been a bit slower than it has historically. It's worth recognizing that the filler market had an outsized benefit post-COVID. And to some degree, maybe some of these patients have received more filler volume per treatment than they had historically. We're starting to see that number of syringes per treatment start to normalize, and that normalization is creating a backdrop that gives it the appearance of a market that has stabilized or flattened out, but we do believe that that filler market will have growth going forward. We anticipate it'll grow in its mid to high single-digit in our outlook to 2028. And we also believe that we have a couple of reasons to be excited. Because we have a new technology. It's very different in the way that this is made from others on the market. And we have the ability now to tell the story a bit differently, especially with this unique label that we have that speaks to weight loss. And we, of course, know that that is the single largest tailwind in this category when you look forward. Those GLP-1 patients, when they enter a set of clinics, facial injectable hyaluronic acid gels are the number one procedure they would add on for that facial volume loss. So I think having that mentioned in our patient label is a really important part of starting that dialogue. I was in New York last week and with a couple of doctors at dinner when I mentioned that label difference, they thought that was really powerful. That's something they would want to advertise to their patients when they talk about Evolys, and it gives them the ability to attract new patients into the category.
Annabel Samimy: Okay. That's great to know. And if I can just ask you about how your subscription model is performing. I know you launched it recently, and are you going to be sharing any metrics on enrollments in the club? I guess the way you talk about the enrollments and the consumer, you know, similar to the way you talk about the consumer loyalty program. And are there any early metrics you can share from the injectors and whether they're seeing persistency in foot traffic and upselling opportunities?
David Moatazedi: Sure. So you're asking about Club Evolys subscription program. As you know, we launched that program in the back half of last year to a limited group of customers. We've extended that to about roughly a hundred customers around the US that had access to Club Evolys. We've seen really good results. I think we want to see a full year cycle before we share some of those results and compare them against our pilot. But we continue to see results that are in line with what you would expect at the phase of that initial introductory hundred accounts. We've since opened it up more broadly to more customers, and we continue to have a high amount of interest in both enrolling into our club program with existing accounts, also once they enroll getting them to start putting patients that are on a regular treatment interval into the subscription. That being said, I don't think comparing it to our loyalty program is the right comparator because this is an entirely new platform that these practices have not had in the past. So we're introducing a different way of selling it. We're collecting, obviously, a payment from the consumer in this program. And so there's a learning curve for all these clinics that they need to go through. Whereas when we launched the loyalty program, they had existing loyalty programs. Some of the bigger players in the space, so they were used to offering a loyalty program here. We're first in class, and we're creating a new market around subscription. I'm really pleased with the early results we're seeing. I think we'll give you a better feel for it once we wrap around right around the year on those early performance metrics.
Annabel Samimy: Okay. Great. Thank you.
Operator: Thank you. Our next question comes from the line of Marc Goodman with Leerink. Please proceed.
Marc Goodman: Hi. Thanks. This is Madhu on the line for Marc. Just a quick clarification on your last comments. So just your growth expectations for the US toxin market in 2025, it seems like you're seeing something different from your competitors in terms of the fourth quarter. So just curious about your expectations for this year. Do you see the market growing maybe in the 6% to 7% range? And then regarding the fillers, can you talk about how the in vitro data you've shared versus Restylane in terms of the thermal and shear stress could translate to potentially different mechanical properties in the body? Maybe you can relate it to clinical trial data or potential differentiation in the real-world setting. Thank you.
David Moatazedi: Great. Okay. Thanks for the questions. I'll make just one comment and turn it over to Sandra to talk a little bit about our guidance on the market for Botox and filler and then Rui to answer your question on the gel properties. I think we recognize that as a business that's grown over 30% for five consecutive years, we're over-indexing against this younger generation of consumers, and we're benefiting from this new patient growth coming in the category. We have an outsized benefit on that. So I think from that standpoint, obviously, we have a really great seat at the table. Always have a clear view on the market, but we do see a very healthy market, and we can tell you how we're thinking about this year.
Sandra Beaver: Yeah. I just stated elaborated on a lot of the different factors that we see driving the market. But if you look historically at the health of these markets, historically, the combined filler and toxin markets have been growing in the low double digits, so around 13% over the last number of years. The toxin market, in particular, over the last two years has been high single, and that's played out in 2023 and 2024. We continue to see that very healthy growth rate, and we project overall for the long term at 10% ish. So high single to low double-digit growing market over both categories. Right? And we see a lot of great tailwinds that continue to further support that along with the entrance of the millennials. Having said that, we are very responsible in the way we think about our guidance, the way we think about setting the market for 2025. And the market that we have in 2025 does expect a relatively flat filler market. So if we do see some of those tailwinds materialize in 2025, that would be some upside for us. As of now, we're being prudent in the way we think about the market shape and the timing of when it will start to impact.
Rui Avelar: And then just to take your last question, in terms of the basic premise of using this freezing technology or near-freezing cross-linking, what we seem to do is a better job of preserving that natural structure of HA. And if you think about it, you would wonder, well, I wonder if that would mean it would resist the forces and stresses that may be applied to these gels. And that's what the bench top data said. One way of looking at it is to thoroughly stress it. It's a way of seeing how stable your gel is. And what we found was these gels seem to stand up better than competitors we went up to. Probably a more relevant metric when we look at testing these gels kind of on the bench top is that compression and shear if we think about laying on one's face or moving one's lips or just facial movement, that also translated really well. What we found was that these Evolys gels seem to withstand that compression and shear force way better than the competitors. Then ultimately, your question is how is that translating clinically, and that's what was nice to see. In the European study, when we put these gels into the nasolabial folds, and they were controlled, we had a control on one side. We found that despite the same amount of gel being used, there always seemed to be more correction with the Evolys technology. And in the US study, it was a bigger study. Once again, both gels were tested split-face, and what we found in the case of Form, despite the fact that the same amount of gel was used, there was always more correction at all time points. So that implies kind of longer duration and higher efficacy at all of the time points. Certainly statistically, we saw a statistical difference at every one of those time points. And then when we look at Smooth, the interesting thing was the control actually used 20% more volume, and despite that, there always seemed to be more correction at least on an absolute basis, and it still hit statistical significance at six to nine months. So in other words, we do a better job of preserving that. It seems to withstand kind of rigorous testing on the bench top. And in human data, we seem to see really good performance against the control and seems to last longer. Thanks.
Operator: Thank you. Our next question comes from the line of Navann Ty with BNP Paribas. Please proceed.
Navann Ty: Hi. Thanks for taking my questions. I had one on the weight loss label. Interested in how you were able to add that claim versus peers, and do you see the Q4 market shares, how did they move across the category? And did you maybe benefit from AbbVie redesigning their loyalty program?
Rui Avelar: Thank you. Sure. On the patient labeling, obviously, there's negotiation that goes on with the agency. So tip our hats to our R&D group. And in terms of others to follow, obviously, I can't speak for others, but I guess it's a form of flattery if people copy what we did.
David Moatazedi: Yeah. And on the share gains, you know, I really we have consistently looked at it over a full-year period. And over the last several years, you've seen we've continued to gain two share points each year. And, of course, this in 2024, we didn't expect to gain two points, and we did. So this brand just continues to perform, and I give a lot of credit to the team. I think we have an excellent sales organization, great leadership throughout, and a marketing team that's delivered some very unique marketing programs to drive the growth in the category. And what you're seeing is the market's rewarding us. Here we are six years into the category in May, and I think we're the stable hand in this space. The value proposition we brought in focused on cash pay and reinvesting back into these practices is resonating with clinics. And they're finding out from their peers that there's value we bring back when you partner with us. I think there's a greater interest in us becoming that partner. Now in all fairness, we've had limited ability to extend that partnership with one product, and now with Evolys, that opens up another opportunity for us to have a deeper partnership with these practices around the same cash pay platform that's differentiated versus the market. So look, we certainly gained share in the fourth quarter. There's no doubt about that. On the full year, we're now approaching 14% share, which sits above the share we had guided for in 2028 just as a point of reference. We're just really pleased with the way we're exiting. We see a lot of momentum going forward. We're only in half the clinics today, and despite that, we have a 14% overall share approaching 14%, still have another 50% of the market that is not working with Evolys today, and we think Evolys gives us the ability to go wider over time into the rest of the market, but also deeper within our existing customers that want to partner with us to a greater degree. So this is a really important inflection point here for the company to deliver.
Navann Ty: Okay. That's great to hear. Thank you.
David Moatazedi: Thank you.
Operator: Our next question comes from the line of Uy Ear with Mizuho Securities. Please proceed.
Uy Ear: Hey. Thanks for taking our question. This is Charles on for Uy. So I guess kind of outside of the US, we saw that I guess, like, in 2025, should we expect service revenues to be around $2 to $3 million? And then also, can you explain why we saw negative service revenues in the fourth quarter of 2024? And then also the comments about, do you see your revenues growing in 2025. Is that kind of a proportional growth, or is that just kind of a year-over-year growth comment? Thank you.
Sandra Beaver: Thanks for the questions, Charles. As it relates to service revenue, it's generally a relatively stable revenue stream for us. I wouldn't expect it to grow meaningfully compared to prior periods. It is isolated to one account and one contract in Canada. The remainder of our revenue is all booked as product revenue. So I wouldn't expect material changes there. And we do see just some timing of when we have those revenue hits. Yeah. As it relates to Nextiva, really, you're looking at the international market for all of that Nextiva growth. And as we stated a few times, we expect that market to meaningfully outpace our growth in the US. So it's still coming over a relatively small base given that we've only completed the launches in the countries we need to deliver our long-term guidance with Nextiva. So we do have that opportunity to continue a lap around those launches. We launched in Australia and Spain, and we've been continuing to see the contribution of international revenue streams grow, and we expect it to continue to grow. So this year, we were approximately 5% of our revenue coming from international, and that percentage should continue to increase. So it will grow from a small base meaningfully faster than the US grows, but still a relatively small contributor to the overall portfolio.
Uy Ear: Thanks for taking my questions.
Sandra Beaver: Thank you.
Operator: Our next question comes from the line of Doug Tsao with H.C. Wainwright.
Doug Tsao: Hi. Good afternoon. Thanks for taking the questions. Just a couple for me. I'm just curious in terms of the launch of Evolys Smooth and Form. I'm just curious to understand a little bit about the process for accounts to start using it. You know, is it just sort of a question of expressing interest, or are you sort of prioritizing certain accounts? And then I was just curious, now that you are adding the Evolys fillers, do you anticipate making changes to any of your customer loyalty programs in any way? Thank you.
David Moatazedi: Great. Thanks for the question, Doug. I think a couple of things on the Evolys launch. The first is we're going to disclose the details of our launch plans at our national sales meeting at the end of March. And at that time, the specifics will become clear to the market. However, as you know, we built up an entirely new educational platform called Evolus Academy last year. And the individual heading that up has built out not only our executive council but founding faculty that are going to be trained and will be training accounts in the second quarter. It's a sizable group that will complement a very large medical affairs clinician team that last year conducted nearly 10,000 training sessions. So when you couple those two ideas together, you think about our training capabilities for the full year of 2025, we're well over 12,000 to 13,000 accounts we'll be able to train over the course of the year. So that gives us a significant amount of training power, which to answer your question, doesn't require us to prioritize just our top-tier accounts. It allows us to go broad fast with these customers. So I think we're going to start in the second quarter doing the training, but we anticipate that in a very short period of time, we can get to the majority of our customer base that is actively using both toxins and fillers in a very quick period of time. So we're really pleased with that. And then lastly, on the loyalty program, the Evolys Rewards to co-branded media benefits begin immediately in the second quarter as accounts buy off, they'll earn their dollars on both Jeuveau and Evolys, and we plan on introducing consumer rewards shortly thereafter. The consumers that earn Jeuveau can also save on Evolys, and we're potentially considering an option of offering benefits if you get both during the same treatment. So that'll be following shortly after we launch in the US consumer rewards benefit. We want to prioritize the first few months in the launch to education and training and experience with the product. We want to have the rewards program for the consumer up and live before we enter the third quarter.
Doug Tsao: Okay. Great. Thank you so much.
David Moatazedi: Thank you.
Operator: Our next question comes from the line of Serge Belanger with Needham and Company. Please proceed.
Serge Belanger: Hi. Good afternoon. First question is regarding new accounts. I think you added just a shade under 3,000 new accounts this year, similar to last year. Now that you're over 50% of the overall US total accounts, just curious how you think that number could look like for 2025, given that you're over 50% and you're launching Evolys? And then secondly, on Evolys, it sounds like the Coldex technology lends some differentiation to Evolys versus other fillers, but just curious in terms of the training and the injection procedures, is there anything different on that front? Thanks.
David Moatazedi: Yep. I'll take the first part and I'll turn it over to Rui to take the second. I think historically, Serge, as you know, we said we expect to add roughly 500 new accounts per quarter. We've been doing that consistently now for multiple years. With the launch of Evolys, we're going to prioritize getting to our existing top accounts around education and training on the new product rather than opening new accounts. So you should expect a step down in new accounts as a result of that. And so we don't have a guide, so to speak, of roughly 500 new accounts a quarter this year for that reason. Then once we transition into 2026, we'll revisit that. We've asked our team to prioritize ensuring that our existing accounts have the opportunity to try out Evolys, but we're at the same time, we're getting a lot of interest from non-users of Evolys products to get trained on Jeuveau and Evolys, so we're also trying to support them at the same time. And it's a great problem to have, but we need to continue to ensure that we support our existing customer base. Now let Rui talk a little bit about what's involved in the training of Evolys Form and Evolys Smooth.
Rui Avelar: Sure. So one thing just kind of at a very high level. When you look at fillers, some you have to overcorrect because you lose a lot of the free gel, so you have to train that way. Some fillers you have to undercorrect, so you want to put in a little bit less because the gel's going to swell over time. What we have found is these gels are really well balanced, and so the training is really to correct to the optimal correction. So when you correct that patient, bring them to where you want them. You do not have to accommodate for gel going away or for swelling. So that's one basic element. The other big element is it's a very forgiving gel. So we have a lot of latitude. The profile that's been really described to us repeatedly from all the investigators is it has a very low inflammation profile, so you can go much more superficial than you typically could with comparable gels. So again, if anything, it's much more forgiving. And then probably the third basic element is, and we may attribute it to just preserving, you know, mother nature's work if you will, that structure is it's a very efficient gel. So one thing that we've seen in the data and that we certainly heard clinically is when you use the gel, it's very efficient in terms of the amount of lift and correction that you have. So you learn your way through that, and you don't have to use as much to get kind of those optimal corrections. I think those are really the three key elements.
Serge Belanger: Thank you.
Operator: Thank you for all your questions. At this time, I'd like to turn the call back over to David Moatazedi, President and Chief Executive Officer, for closing remarks. David?
David Moatazedi: Great. Thank you. Evolus is at an inflection point. Clearly, we're poised for the next phase of transformative growth. Our relentless execution, market leadership in cash pay aesthetics, and ability to disrupt the status quo have propelled us to this moment. We should both continue to outperform the market and our deep customer engagement driving unparalleled loyalty. We are stronger than ever heading into 2025 and beyond. Our expanding global footprint and upcoming launch of Evolys Form and Evolys Smooth in early Q2 marks a defining moment for our company, further solidifying our position as the most innovative and fastest-growing aesthetics brand. The FDA approval of our first two Evolys products is the most significant advancement in dermal fillers in a decade. This expansion of our portfolio not only diversifies our revenue streams but also reinforces our commitment to delivering cutting-edge solutions that redefine the aesthetics industry. No company is better positioned to lead this next chapter with a fully integrated digital strategy, an unrelenting focus on millennial consumers, and a business model built for sustainable long-term success. I could not be more proud of the culture we've built at Evolus and the unwavering commitment of our team to push boundaries and drive results. With our proven ability to execute, we remain focused on delivering industry-leading growth and reaching our long-term goal of at least $700 million in revenue by 2028. Finally, we look forward to continuing the conversation next week at the Leerink and Barclays Conferences in Miami. We hope to see many of you there. Thank you for joining us today.
Operator: We've reached the end of our call. You may disconnect your lines.